Operator: Good afternoon. My name is Colby and I’ll be your conference operator today. At this time, I would like to welcome everyone to the Viad Corp.’s 2022 Earnings Conference Call. [Operator Instructions] Carrie Long, you may begin your conference.
Carrie Long: Good afternoon, and thank you for joining us for Viad’s 2022 second quarter earnings conference call. During the call, you’ll hear from Steve Moster, our President and CEO and President of GES; David Barry, our President of Pursuit; and Ellen Ingersoll, our Chief Financial Officer. We issued our earnings press release after the market closed today, along with an earnings presentation, which are both available on our website at viad.com. We will be referencing specific pages from the presentation during the call as we discuss our business performance and outlook. During the call, we’ll also be referring to non-GAAP measures, including adjusted EBITDA. Important disclosures regarding non-GAAP measures, including reconciliations to net income or loss attributable to Viad can be found in Table 2 of our earnings press release and in our earnings presentation. Additionally, certain statements made during the call, which are not historical facts, may constitute forward-looking statements. Information concerning business and other risk factors that could cause actual results to materially differ from those in the forward-looking statements can be found in our annual, quarterly and other current reports filed with the SEC. And now I’d like to turn the call over to Steve.
Steve Moster: Good afternoon, and thank you for joining Viad’s second quarter 2022 earnings call. Before Ellen covers our financial results for the quarter in detail, I want to highlight three key points about the quarter and implications for the remainder of 2022, which are covered on Page 5 in the earnings presentation. First, our consolidated second quarter earnings were significantly better than expectations, and I feel confident in raising our full year consolidated guidance, which Ellen will cover later in the call. The largest driver of our outperformance in the quarter was GES’ accelerated recovery from the pandemic. Our Exhibitions and Spiro team delivered EBITDA of over $35 million, which significantly outperformed our prior guidance range of $8 million to $12 million. Second, I’m pleased to say that the momentum of both the hospitality and live event industries continues to be strong. GES Exhibitions had its fourth straight quarter of improved same-show revenue and Spiro’s corporate clients are spending more than we originally predicted based on a client survey we conducted earlier in the year. Additionally, bookings for Pursuit’s lodging properties continue to pace better than their 2019 pacing at this point in the season. And lastly, I’m encouraged by our forecasted performance for the full year 2022, and the future earnings potential for each of our businesses. Later in the call, David will talk about Pursuit’s guest mix returning to more normalized levels as and when long-haul visitors start traveling to our iconic destination in large numbers again. Over time, we expect this shift in guest mix will improve Pursuit’s high-margin profile back to historic levels. Additionally, the recovery of GES Exhibitions is well underway, and there’s more runway for Exhibitions revenue to reach its full potential. As revenue returns, GES Exhibitions will continue to benefit from the transformation actions we took during the pandemic to reduce our cost structure. And as we continue to strengthen Spiro’s capabilities, the business has the opportunity to grow by leveraging our existing blue-chip client relationships to capture market share in the large and fragmented experiential marketing industry. And now I’d like to turn the call over to Ellen to discuss our financial performance in more detail. Ellen?
Ellen Ingersoll: Thanks, Steve. As shown on Page 7, we delivered consolidated revenue of $319.2 million during the second quarter. Net income attributable to Viad was $19.8 million and our consolidated adjusted EBITDA was $47.5 million. As Steve mentioned, this significantly exceeded our expectations, primarily due to the stronger than anticipated recovery at GES. Pursuit also posted a solid second quarter with record revenue. However, Pursuit’s adjusted EBITDA of $15.6 million came in below our prior guidance range of $17 million to $21 million, primarily due to poor weather conditions that hampered visitation during the shelter period. As compared to 2021, our net income attributable to Viad and consolidated adjusted EBITDA improved by $61.9 million and $69.4 million, respectively, reflecting strong growth at both Pursuit and GES. Turning to Pursuit’s year-over-year performance on Page 8. Second quarter revenue of $77.6 million was $41.3 million higher than the 2021 second quarter. This growth was largely the result of stronger visitation at our Canadian experiences from lifted travel restrictions as well as our efforts to refresh our existing experiences, expand our portfolio and maximize revenue. As I mentioned, Pursuit’s overall adjusted EBITDA was $15.6 million for the second quarter. This is up $13.6 million compared to the prior year, primarily due to revenue growth, partially offset by improved staffing levels to support the return of consumer demand and our new experiences. Additionally, Pursuit’s 2021 second quarter adjusted EBITDA included a CAD3.6 million wage subsidy benefit that did not repeat this quarter. On a same-store basis, Pursuit’s year-over-year revenue increased by $35 million and adjusted EBITDA increased by $14.4 million. We are seeing a very healthy but not yet full recovery versus pre-pandemic levels as long-haul international travel is still improving. The new experiences we opened or acquired since the beginning of 2021 collectively contributed revenue of $9.4 million and adjusted EBITDA of $271,000 during the quarter. Sky Lagoon, which opened during Q2 2021 posted strong revenue growth and solid margins during the quarter. Visitation at FlyOver Las Vegas, which opened during Q3 2021 is still ramping, and revenue has not yet surpassed breakeven levels. As David will discuss further, we are encouraged by the growth and strong guest reviews that we are seeing, and we remain confident that this high-quality experience and proven concept will deliver strong margins and returns. Golden Skybridge and Glacier Raft Company opened for the season towards the end of the quarter and are off to a solid start this year. Pursuit’s overall EBITDA margin for the quarter was approximately 20%, which is up significantly year-over-year. As long-haul international tourism continues to rebound and drive increased visitation to our high-margin attractions, Pursuit should see additional margin improvement. Now switching over to GES second quarter results on Page 9. GES delivered total revenue of $241.6 million and adjusted EBITDA of $35.1 million during the quarter. This is GES’ third straight quarter of positive EBITDA and its strongest quarter since the pandemic began. Revenue reached 75% of the pre-pandemic 2019 second quarter and adjusted EBITDA margin was slightly better, reflecting increased in-person live event activity and GES’ lower, more variable cost structure. As compared to Q2 2021, GES’ adjusted EBITDA improved by $56.7 million on a revenue increase of $216.7 million. This very strong flow-through of approximately 26% is substantially better than our target of 20% plus flow-through due in part to the revenue recovery outpacing our rehiring efforts. As I’ll discuss further when covering our outlook, we anticipate flow-through will be lower in the back half of this year. Spiro’s second quarter revenue increased $77.5 million, with an increase in adjusted EBITDA of $21.8 million as compared to the 2021 second quarter. Spiro continues to win new logos and benefit from increased client spend. GES Exhibitions second quarter revenue increased $141.5 million, with an increase in adjusted EBITDA of $34.9 million as compared to the 2021 second quarter. GES Exhibitions realized its fourth consecutive quarter of same-show revenue improvement, with revenue from U.S. events that we produced reaching 87% of pre-pandemic levels on average. Next, I’ll quickly cover some balance sheet and cash flow items before turning the call over to David for Pursuit updates. We ended the second quarter with total liquidity of approximately $127 million, comprised of $55 million in cash and $72 million of capacity available on our revolving credit facility. Our cash flow from operations during the quarter was an inflow of approximately $26 million, which was better than our prior guidance, primarily due to the faster-than-expected rebound of event activity at GES. Our capital expenditures totaled about $19 million for the quarter and were mainly at Pursuit, including growth CapEx for the new Forest Park Hotel in Jasper. In early April, we completed the acquisition of the Glacier Raft Company for approximately $25 million, net of cash acquired, which we funded with $15 million of revolver borrowings and cash on hand. At June 30, our debt totaled approximately $492 million including $15 million drawn on our revolver, $397 million on our Term Loan B, financing lease obligations of approximately $65 million, a $9 million construction loan to help fund the development of the Forest Park Hotel and other debt of approximately $7 million. Additional details can be found in the appendix of our earnings presentation. And now I’d like to turn the call over to David to discuss what’s happening across Pursuit. David?
David Barry: Thanks, Ellen, and thank you all for joining us. Peak season operations are in full swing across the Pursuit world, and we’re thrilled to be operating in an environment that’s mostly free from COVID-driven restrictions. As Ellen mentioned, our adjusted EBITDA finished below our previously issued second quarter guidance, which we largely attribute to a five-week period of exceptionally poor weather in our Vamp, Jasper and Glacier Park operating geographies. This was the same weather pattern that caused flooding and closures in Yellowstone National Park and other parts of the West. Thankfully, both our teams and destinations suffered no significant damage other than three solid weeks of heavy rain and snow. Even with the poor weather conditions, we delivered significant year-over-year revenue and adjusted EBITDA growth and strong improvement in our attractions visitation and lodging performance metrics. As shown on Page 11 of our earnings call deck, our second quarter revenue reached a new record of $77.6 million, which is up $41.3 million or 114% year-over-year. Relative to pre-pandemic 2019, second quarter revenue increased $22.2 million or 40%. I’m very happy with this strong growth, which is the result of new lodges and attractions in the Pursuit portfolio, together with increased revenue from experiences that were part of Pursuit prior to 2019. And as I’ll touch on further as I review our performance and outlook, these great results still do not reflect the full future potential of our experiences. So first, turning to our attractions on Page 12. We saw second quarter ticket revenue grow by approximately 200% as compared to 2021 and by 27% compared to 2019. We hosted about 743,000 attraction visitors as compared to 204,000 in 2021 and 651,000 in 2019. On a same-store basis, excluding those attractions that we opened or acquired in 2019 or later, attractions visitors reached 81% of the pre-pandemic 2019 second quarter, which is a significant improvement from just 21% last year. Pursuit’s Vamp-based attractions, the Banff Gondola and Lake Minnewanka cruise and our Kenai Fjords whale watching cruise in Seward, Alaska delivered particularly strong results with guest visitation and total attraction revenue exceeding both prior year and pre-pandemic 2019. Same-store attraction visits lagged the same period in 2019 at the Columbia Icefield, Glacier Skywalk, Maligne Lake and FlyOver Canada. These attractions are more dependent on long-haul visitation from the Asia Pacific markets, which unfortunately are still lockdown due to the COVID-19 pandemic. The five new attractions we’ve opened or acquired since 2019 hosted approximately 215,000 visitors during the second quarter with very strong guest reviews. While visitation has yet to achieve its full potential, we are encouraged to watch the performance of these recent investments to accelerate as destination visitors return, guest awareness builds and our market penetration strategies take hold. Sky Lagoon in Iceland delivered a quarter-over-quarter guest visitation increase of 48% and FlyOver Iceland delivered an increase of 26% versus the first quarter. While we expect overall travelers to Iceland will remain below 2019 levels this summer, our visitation continues to trend in a positive direction, and we’re well positioned for an even stronger third quarter at both of these attractions. In FlyOver Las Vegas, our growth trajectory is taking longer than I’d like, but it’s moving in the right direction. Visitation increased 13% from the prior quarter and continues to build momentum. Average daily visits in July were up 20% from the month of June. Reviews for the experience are very strong, and we’re gaining ground within the major distribution networks like vegas.com. And finally, we’re up and running at our new seasonal attractions to Golden Skybridge in Gold in British Columbia and the Glacier Raft Co. in West Water Montana. Both locations offer high-value bucket list experiences and we’re very excited to see what this summer holds for both. All right. So now let’s switch over to lodging performance on Page 13. Our second quarter rooms revenue grew by 81% as compared to 2021 and by 63% compared to 2019. The year-over-year growth was largely due to higher occupancy, while the growth from 2019 was due to our expanded portfolio of lodging properties. Through acquisitions made since 2019, including the seven hotels within Mountain Park Lodges, we increased the number of room nights available during the second quarter by 62% from about 96,000 in 2019 to approximately 156,000 in 2022. Overall occupancy during the second quarter returned to the pre-pandemic 2019 level of 68% with an increase in ADR. And of the 17 hotels that we owned and operated prior to 2019, 16 delivered second quarter revenue in excess of 2019 levels, a strong indication of our ongoing focus on improving the guest experience, the resiliency of our business model and continued pricing power. Our seven Jasper-based hotels acquired in June of 2019 also performed exceptionally well with second quarter occupancy up 100% year-over-year, ADR up 17% and RevPAR increasing a healthy 135%. We’re encouraged with these results as a reflective of the power of Pursuit’s bucket list experiences and the returning perennial guest demand for our iconic locations. Looking ahead, we have a positive outlook for the second half of 2022. And now I’d like to share some insights on our view for the balance of the year. With the all-important third quarter underway, we’re very pleased with how July has performed thus far. Through 24 days, attraction ticket revenue was up 21% from 2019 and 74% from 2021. On a same-store basis, ticketing revenue is down 5% from 2019 and up 64% from 2021. July month-to-date, lodging performance is strong as well with same-store revenue having increased 5% from 2019 and 20% from 2021. We continue to anticipate strong guest demand for Pursuit’s collection of experiences and we remain focused on our key business drivers. So financial growth fueled by the return of travel, our refreshed build by investments, strong guest satisfaction and team member engagement. Lodging pace for full year 2022 remains very strong across all geographies. As we’re showing on Page 14, rooms revenue is pacing well ahead of 2021 and pre-pandemic 2019 across all geographies on a same-store basis. And this reflects both strong occupancy and rate performance. In Banff and Jasper, we’re benefiting from increased U.S. visitation following the CDC’s decision to drop COVID testing requirements for entry into the United States easing 2.5 years of travel restrictions. We’re also closely watching border restrictions for any negative impact from Canada’s recent decision to reinstitute random testing for guests arriving to Canada by air. In the Glacier Park Collection and in Alaska, we’re pacing for record seasons with same-store rooms revenue up 25% and 19%, respectively, from 2019. Turning to our attractions. We anticipate that 2022 total attraction visits will double the 1.5 million visits we hosted during 2021. This will put our total attraction visitors above 2019, but does not reflect the full potential of these high-margin experiences. With our tour and travel partners not yet traveling from Asia Pacific, full year attractions visitation is expected to be between 10% and 20% behind 2019 on a same-store basis as these long-haul destination visitors remain at home due to COVID restrictions. Page 15 illustrates the guest mix shift that we’ve seen relative to pre-pandemic. Historically, visitors from Asia Pacific have been heavy consumers of our high-margin attractions across the Canadian West as they all travel on set and inclusive itineraries. And while they’re not yet able to travel, tour and travel partners from these markets are contracting at historical levels for the upcoming season. This means that we have growth upside in 2023 and beyond as visitation from these markets return to pre-pandemic levels and our new attractions continue to ramp. We anticipate that full year 2022 adjusted EBITDA margin will increase from the 20.1% we saw in the second quarter and materially from 2021, but will remain below 2019 levels. Looking beyond 2022, our models anticipate a return to pre-pandemic profitability levels as international guests volume increases and global travel trade visitation continues to rebound, while guest awareness in the market penetration strategies that our newer experiences take hold. The economic power of our attractions is pretty formidable as cost to operate are largely fixed once the attraction is open for the season. Strong guest volumes flow through attractions at very high margin levels and have a positive impact on Pursuit’s overall margin. The return of Asia Pacific visitation to our attractions in the seasons to come will have a significant positive impact on both revenue and return to historical margins. Before closing, just last quarter, I mentioned that we identified staffing is the single biggest success factor for the 2022 season, and I’m pleased to say that our teams have done a great job of seasonal recruitment. The benefits of this recruiting success are twofold. First, it goes miles in ensuring that our team members are supported and drives a high, high, high level of team member engagement, a metric that we are very focused on; second, strong team member engagement and appropriate staffing levels are critical to delivering a high level of guest satisfaction. So I’m very proud of our teams and leaders across the Pursuit world and grateful for all that they do. And I look forward to reporting a strong second half of 2022 in the quarters ahead. Steve, over to you.
Steve Moster: Thanks, David. And now I’d like to give more insight into the second quarter performance at GES Exhibitions and Spiro starting on Page 17 of the earnings presentation. As I mentioned at the beginning of the call, both Exhibitions and Spiro significantly outperformed our prior guidance range due to stronger growth of existing shows and clients as well as new business wins in the quarter. The second quarter was the largest revenue quarter for GES Exhibitions since the pandemic began and provided an operational test after rebuilding this business. I’m proud to say that the business exceeded our expectations in financial performance, operational excellence and client satisfaction. GES Exhibitions delivered a remarkable $155 million in revenue and $19.4 million in EBITDA during the second quarter. On a same-show basis, our revenue from U.S. Exhibitions was 87% of its 2019 pre-pandemic level for the second quarter, as shown on Page 18, up from 73% in the first quarter of 2022 and better than our expectation of approximately 75%. The second quarter marks the fourth consecutive quarter of increasing same-show growth in the U.S. since the recovery started in the third quarter of 2021. This U.S. same-show metric compares trade shows that occurred in the same city for both occurrences and represented between 30% and 50% of the total exhibition revenue during each of the last four quarters. GES Exhibitions also benefited from winning approximately $11 million of short-term bookings. These are shows that were contracted and produced in the second quarter, as well as some European shows that moved date into the second quarter from later in the year. The trajectory of the same-show growth over the past four quarters and the new wins in the quarter point to a strong healthy recovery of our business. I’m particularly pleased to report that GES Exhibitions was able to generate higher EBITDA margin on significantly less revenue than our pre-pandemic performance. During the first half of 2022, GES Exhibition delivered an 8% EBITDA margin on $266 million in revenue, and had a 22% flow-through to adjusted EBITDA on incremental revenue compared to the first half of 2021, as seen on Page 19 of the earnings presentation. This performance is the direct result of our transformation, which included eliminating approximately $10 million in fixed costs and significantly reducing our overall cost structure. Now let me share some insights into Spiro’s second quarter and the great work that we did for our corporate clients. As a reminder, Spiro is our experiential marketing agency that we rebranded in the first quarter of this year and represented approximately 30% of GES’ 2019 total revenue. Spiro already has a strong client roster including some of the largest pharmaceutical, aerospace and defense, industrial, fintech and technology companies around the world. During the quarter, Spiro delivered $89.4 million in revenue and $15.8 million in EBITDA as existing clients spending exceeded our expectation and new clients started their marketing projects with Spiro. Spiro’s existing clients’ marketing spend was approximately 90% of their 2019 spending levels on a same-event same-client basis. This was higher than the 80% that we had expected based on a client survey that we conducted at the beginning of the year. As I mentioned on the prior earnings call, the Spiro team has been focused on building out the critical capabilities needed to compete in the large and growing experiential marketing industry. These new capabilities have led to new wins. Since the beginning of 2022, Spiro has won a total of 23 new clients across North America and Europe and has also expanded our programs with existing clients. These new wins and growth of our existing clients generated incremental revenue in the second quarter. A great example of growing and cross-selling our existing clients on a global scale is the work that we did this quarter for JPMorgan. Based on our newer capabilities, the Spiro team expanded our scope of work with JPMorgan to include the Connected Car experience tour, which Spiro will be managing in both Europe and the U.S. The Connected Car experience is a consumer experience concept that Spiro created and is designed to highlight the tremendous possibilities that exist when JPMorgan’s visionary financial technology is combined with the current automotive connectivity to deliver a rich and robust suite of consumer services in a manner that will be as simple as turning on your cars radio. Again, this is a great example of the work that we can do at Spiro for our clients. Looking ahead to the remainder of 2022, our guidance for GES reflects our prior assumption that exhibitions will remain at or above 75% of our pre-pandemic revenue, but will not have a full recovery this year. As a good proxy for the remainder of the year, during the last earnings call, I mentioned our largest show in the third quarter will be IMTS or the International Manufacturing Technology Show in Chicago. To date, IMTS has sold approximately 85% of the space compared to their most recent show in 2018. Similarly, Spiro predicts corporate client spending will be at or above 80% of pre-pandemic levels for Q3 and Q4 of 2022. And now I’d like to turn the call over to Ellen to discuss our financial outlook in more detail. Ellen?
Ellen Ingersoll: Thanks, Steve. We continue to expect very strong year-over-year growth from both Pursuit and GES and are pleased to be increasing our full year guidance for consolidated adjusted EBITDA due to GES was stronger than previously expected performance during the second quarter, partially offset by a reduced full year outlook at Pursuit. As shown on Page 21, we expect Pursuit’s adjusted EBITDA for the 2022 full year to be in the range of $70 million to $80 million, which is down from our prior guidance of $80 million to $90 million. The reduction is primarily due to lower-than-expected results during the second quarter from inclement weather and our expectation that FlyOver Las Vegas visits will experience a slower than previously anticipated ramping this year. As David discussed, FlyOver Las Vegas is gaining momentum and is well positioned to succeed with its very strong guest reviews, excellent location on the Las Vegas Strip and a talented team with deep experience running successful entertainment experiences in the Las Vegas market. For the peak third quarter, we expect Pursuit’s adjusted EBITDA to be in the range of $74 million to $82 million as compared to $59.6 million in Q3 2021 and $75.1 million in Q3 2018. Our outlook for Pursuit assumes that our U.S. same-store experiences will once again post revenue above pre-pandemic levels from strong leisure travel demand and our continued investments in the guest experience. Additionally, our Canadian same-store experiences will see significant but not full recovery relative to 2019, as certain long-haul markets are slower to resume international travel. Our three new attractions that we opened in 2021 will have a full season of operations this year and continue to ramp as guest awareness builds and long-haul leisure travel demand increases. We will also benefit from the additions of the recently acquired Glacier Raft Company and the opening of the Forest Park Hotel this summer. We expect Pursuit’s adjusted EBITDA margin in 2022 will be in the mid-20s, which is substantially better than 2021. And we continue to expect to return to the mid-30s as and when long-haul international leisure travel fully recovers. As David discussed, these visitors have historically been heavy consumers of our high-margin attractions. Now turning to GES on Page 22. We expect GES’ adjusted EBITDA for the 2022 full year to be in the range of $50 million to $60 million. This is up from our prior guidance of $25 million to $35 million. Based on the stronger-than-expected performance of our second quarter events and current expectations for the balance of this year, we feel comfortable increasing our full year range for GES by $25 million. Our assumptions underpinning our guidance remain a bit cautious given the dynamic operating environment that we continue to navigate. As concerns about the impact from COVID restrictions are receding, we are facing increased economic uncertainties that make forecasting challenging, especially beyond the current quarter. Additionally, we continue to face margin headwinds in the form of higher inflation, transportation expense and supply chain issues. The GES team has done a remarkable job mitigating these challenges through the first half of the year, and we’ll continue to find creative solutions to help offset rising costs for the remainder of the year. For the third quarter, we expect GES’ adjusted EBITDA to be in the range of $6 million to $11 million as compared to a loss of $4.2 million in Q3 2021 and a loss of $2.8 million in Q3 2019. The improvement versus 2021 largely reflects higher revenue, partially offset by increased staffing levels to support the revenue recovery and some of the cost headwinds I just mentioned. The improvement versus 2019 largely reflects favorable show rotation, including IMTS as well as GES’ leaner cost structure. Next, I’ll cover cash flow outlook before turning it back to Steve for concluding remarks. For the third quarter, we currently expect an operating cash inflow somewhere in the range of $70 million to $75 million and capital expenditures of approximately $30 million, including growth CapEx for FlyOver Chicago, a new mountain coaster experience at the Golden Skybridge and completion of the new Forest Park Hotel build. For the full year, we expect capital expenditures of approximately $80 million to be funded with cash flows from operations. We will continue to prudently invest in attractive growth projects at Pursuit while maintaining ample liquidity. And now I’ll turn the call back over to Steve.
Steve Moster: Thanks, Ellen. I’m encouraged by our strong first half performance and the continued recovery in leisure travel at Pursuit and live event activity at GES as we head into a busy second half of the year. We’re well positioned for continued growth with pent-up demand for our industries on both sides of the business, new world-class experiences at Pursuit and a stronger, more profitable GES. Looking beyond 2022, I’m very excited about the future earnings potential. The actions we have taken during the last few years to grow Pursuit’s collection of attraction and lodges and to transform GES’ cost structure and focus on higher margin clients and services should propel our EBITDA well above 2019 levels as pandemic headwinds subside. We remain committed to our strategy to create extraordinary experiences and strong returns for our shareholders. For Pursuit, we continue to evaluate opportunities to grow the business through our proven Refresh, Build, Buy strategy. For GES, we will build on the progress we’ve made to date to improve the margin profile and resume generating strong cash flow through our more flexible cost structure and focus on higher-margin clients and services. I want to thank our hard-working dedicated employees and our shareholders for your continued support in Viad. And with that, we’ll open up the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Tyler Batory from Oppenheimer. Your line is open.
Tyler Batory: Good afternoon. Thanks for taking my questions. I appreciate all the detail thus far here. First one on the GES side of things, the margin really impressive this quarter, nice to see the progress there and some of the initiatives that you talked about really coming through. Are these profitability levels, these margin levels sustainable at these levels of revenue? I mean were there any abnormally profitable shows in Q2 or anything that was kind of one-time that was perhaps a tailwind that benefited margin in the quarter?
Steve Moster: Yes. Thanks, Tyler, for the question. First off, if you look historically, the first half of our year is usually stronger than the second half based on revenue mix within the quarters. So there is a historic trend of strength in kind of margin in the first half relative to the second half. But what I can say, I’m very proud of kind of what we accomplished in the first half. And as revenue continues to recover in the industry and we continue to grow, I think we can improve upon where we ended up. So strong first half, some of the margins are supported by stronger events in the first half of the year.
Tyler Batory: Okay. And in terms of your outlook, has your view on the second half of the year at GES and really on the Exhibition side of things, is your outlook on the second half of the year changed much from a couple of months ago? Because it does sound like the commentary, everything that you’re talking about is quite positive. But at the same time, it also looks like your expectations in terms of same-store revenue are pretty consistent with what you were talking about previously. So just trying to connect the dots, so to speak, on those two factors, really to get a sense of your outlook for how the second half of the year is shaping up.
Steve Moster: Yes, it’s a good question. And our outlook for the next two quarters has been pretty consistent with what we’ve seen before. In the script, I called out one of our larger events, IMTS and that’s tracking it from a square footage perspective, about 85% of where it was pre-pandemic. We expect roughly that level of performance for the balance of the year, which is in line with what we had thought. I think the big surprise for us, Tyler was in – Tyler was in the second quarter, just – we didn’t think that the events would come back as quickly as they did. And obviously, we were pleasantly surprised with how quickly they recovered. There is still a tremendous amount of variability within the performance or the growth over pre-pandemic levels between the shows. So even at the 87% in the second quarter, there was a lot of variability between the shows, and I expect that to continue for the balance of the year.
Tyler Batory: Okay. Okay. Switching gears to the Pursuit side of things. I just want to be crystal clear that I understand the guidance there. You lowered by $10 million at the midpoint. Q2 was $3 million and change lower than you were thinking. So in terms of the delta here for the second half of the year, I mean you called out FlyOver Las Vegas, I mean, are there any other factors that are causing the lowered outlook? I’m not sure there’s actual cost inflation or anything else that’s going on in the business different than what you were anticipating?
Steve Moster: Yes. That’s a good question. The – so the main driver, Tyler is looking at the second quarter, the miss in the second quarter and specific slower ramp for the Las Vegas FlyOver. And I don’t know, David, if you want to comment more on what you’re seeing for the balance of the year.
David Barry: I think it’s one – obviously seeing some impact from our Asia Pacific visitors not being able to travel. And so at its peak, Asia Pacific, 2018, 2019, that’s 450,000 visitors that are staying home this year because of the restrictions. So we know those visitors are coming back. It’s just they’re not coming back this season. So that’s really the reflection of where we are. From a cost standpoint, we’ve seen increases in fuel and various other things in supply chain, but we’ve been able to do things like fuel charges and be aggressive on pricing and a variety of other things. So guest satisfaction remains pretty high, and we’re delivering great products and charging a fair price for it.
Tyler Batory: Okay. Great. That’s all for me. I’ll leave it there. Thank you.
Operator: Your next question comes from the line of Kartik Mehta from Northcoast Research. Your line is open.
Kartik Mehta: Good evening. Just – I know things on Spiro side looks good, GES looks good. But have you had any conversations with companies that might be getting scared of the potential slowdown in the economy. And as a result, maybe pulling back and that is an impact 2022, but potentially impacts 2023?
Steve Moster: Yes. What I see forward, first off, Kartik, I haven’t seen any cancellations or postponements based on any kind of economic downturn or a recession or anything like that. And when I look at our larger events on the balance of the year, they are – they continue to grow in terms of the number of exhibitors attending those events. And so I haven’t seen any signs of that activity for the balance of the year. And to be honest, I haven’t looked or we don’t have enough data yet about the 2023 events to say what they look like in terms of their size or scale. So what I can say right now is I don’t see any impact in the next six months or so.
Kartik Mehta: And David, on the Pursuit side, obviously, you’re able to get some price increases because of demand and inflation. And I’m wondering, do you anticipate that those price increases, especially on the lodging side and the traction side are sustainable?
David Barry: Yes, it’s interesting. If you’ve paid attention to some other companies that have reported earnings, you see some agenda about that. I think we’re in a very different position. If you look, as an example, Kartik like Mountain Park Lodges that we acquired in 2019. The Mountain Park Lodges had commitments for the 2021 and 2022 season with tour and travel partners all around the world. As those commitments end, we’re in a great position, and we see quite strong enthusiasm for 2023, 2024 and 2025 seasons based on travel trade partners recovery and their guests wanting to travel. And so as the mix returns to more traditional, we see an opportunity. We’ve been able to drive some pretty significant increases from a price standpoint, and we believe we’re going to be able to continue to do that quite effectively into the future. And we just feel really good about that. Refresh, Build, Buy is a great example of taking a property, making it nicer, making the guest experience better and then ultimately charging more for a much better product. So I think we’re a little different than business travel or super competitive city hotels where there’s one on every block. We have bucket list destinations that have this perennial demand and we control large swaths of that inventory that gives us, I think, pricing power that’s unique.
Kartik Mehta: And then just one last question, David, on Pursuit. You talked about 450,000 visitors coming from AP. But approximately, what percentage of revenue would that be for Pursuit? So if everybody came back in 2023, I’m trying to figure out what the potential is for Pursuit.
David Barry: Yes. I think, one, I would be a little cautious with the rate of return that I don’t think everything is coming back in 2023. I think it gives us tailwinds for the coming seasons for 2023, 2024 and 2025. Because certain countries are going to accelerate more quickly and other countries are going to be a little bit behind the curve, depending how they’re dealing with their COVID strategies. So it will be impactful. I’m not sure I have the revenue number off the top of my head, but I’m happy to dig into that and follow up with you.
Kartik Mehta: Thank you very much. I really appreciate it.
Operator: Your next question comes from the line of Bryan Maher from B. Riley Securities. Your line is open.
Bryan Maher: Good afternoon and thanks for all that information so far, very helpful. On GES and the strength there and Tyler, I think, touched upon it a little bit. When we think about the seasonality of the business and the margins on top of that and thinking about the margin improvement in 2Q, would we be safe to maybe elevate our margin expectations across the four quarters, keeping with some less level of seasonality that we’ve seen in our models over the past few years?
Steve Moster: I think that – it’s a good question, Bryan. And what I would say is that we’ve talked about total GES hitting a target of 8% EBITDA margin as revenue recovers. You’ll see that seasonality or cyclicality in our margins from quarter-to-quarter that we’ve had historically, as I mentioned before the first half relative to the second half. But on a full year basis, as revenue recovers, we should expect to see margins improve over their pre-pandemic level. That it really is the result of everything we did during the pandemic and adjusting our cost structure.
Bryan Maher: Okay. So definitively, several more percentage points of margin on an annual basis at some point going forward here is kind of what I’m hearing.
Steve Moster: Yes. What I would say is there is margin improvement over where we are now, and it really depends on revenue recovery. I mean even with the strength in the second quarter, it was smaller, significantly smaller than what we had seen pre-pandemic for the second quarter. So from a revenue perspective, I’m very happy with the margins we’ve produced in the quarter. And I think as revenue recovers, you’ll see the margins continue to climb based on the work that we did.
Bryan Maher: And I know you don’t guide, I’m probably pushing the envelope here a little bit and we’ll guide more than you put in the PowerPoint. But would you expect to see that unfold maybe by year-end 2024 or sooner or later than that?
Steve Moster: As Ellen mentioned in her comments, coming out of the health scare and the pandemic, we’re faced with another uncertainty, which is what is going to happen to the overall economy. Bryan, at this point, it would be premature for us to talk about 2023 or 2024. Our focus is really on executing the balance of the year.
Bryan Maher: Okay. That’s fair. And then at GES given the strength of the business coming back, what percentage of that would you say was repeat business from kind of pre-pandemic customers that you dealt with? And maybe what percentage roughly was new customers to GES?
Steve Moster: Well, I think as we’ve talked about before, the Exhibition side of the business, benefits from having multiyear contracts with their clients. So that tends to be a heavy repeat business and a high renewal rate on these contracts. Additionally, Spiro has some very long-standing client relationships. And therefore, the total revenue for GES on an annual basis, it’s probably 60% to 70% renewed or existing clients, and the rest is new clients.
Bryan Maher: Great. And then last for me. I think like Tyler had mentioned in part that the Pursuit EBITDA contribution from the new additions, I don’t know [indiscernible]. And you’ve mentioned a couple of times the Las Vegas FlyOver. Is there anything that’s happened in Las Vegas FlyOver in the nine or 10 months that it’s been open that gets you to rethink what you are planning to do in Chicago or Toronto from a development or opening endpoint?
David Barry: Yes, Bryan. Go ahead, Steve. Couple of things. One, for Las Vegas, think of the time line that we were in, right? If you recall, September of 2021, the world was still – folks were traveling, but definitely COVID was still rearing is that we had. We were ready to open – we opened and we knew that the period of time would be challenging. Then obviously, through the winter with Omicron and how visitation was affected and I think that the primary effect on Las Vegas was that just simply getting going in the distribution networks took a lot of time, not because people didn’t support the attraction because the guest ratings are very high, and the experience is phenomenal. It was more just getting in front of folks to be able to get those distribution networks moving. So that’s the first thing. So if you look at Vegas.com or Go City or a variety of these other very strong distribution platforms within the Las Vegas market in the attraction space, all of those are coming online. We’re 40% ahead of May’s visits in July. We’re 20% ahead of June’s visits in July, and those numbers are continuing to build, and we feel strongly that they’re going to perform. We had the major casinos in their distribution networks visit FlyOver Las Vegas and the reaction has been very positive. And so while the ramp is taking longer, we’re also the world coming out of the global pandemic, and we feel good about it. One of the reasons we love attractions is they’re built for volume. And that just means that if you’re operating a FlyOver, your costs are basically set if you have 500 guests or if you have 2,000 guests. And history has shown us in Vancouver and in Iceland, which are both having phenomenal summers that the thing is going to continue to build, and we’re just getting the distribution mix right. One of the benefits of Chicago is that Navy Pier is a very consolidated destination where everyone works together, the same ticketing platforms there’s some terrific cooperation between the various companies that are there, whether it’s the Children’s Museum or the wheel or Hornblower or the peer itself, it’s a bunch of great companies that work together to drive visitation to Navy Pier. So we feel confident. And if any of the lessons we’ve learned is you just have to keep pushing and keep pushing again and harder and harder. But we’re quite confident. I don’t know if you saw the Wall Street Journal article today on the Vegas results. So Vegas is booming, and we think we’re going to boom right along with it, and we’re just working on fine-tuning the distribution and have confidence that Vegas is going to be a strong performer.
Bryan Maher: Thanks. And that segues nicely into my last question, and I’ll keep it tight. Volume in Sky Lagoon. I know many of us haven’t had the opportunity to go over to Sky Lagoon, it’s probably a good idea to have an Analyst Day there, I would think. But can you talk a little bit about ability to take market share from Blue Lagoon and maybe some of the dynamics of pricing versus expenses there. Is it similar to maybe what we’re seeing elsewhere in kind of regional attractions?
David Barry: Yes. I would say just a couple of things. So first, with Sky Lagoon, we’re incredibly happy with how it’s performing. And how awareness for the experience has grown and we’re consistently either right on forecast or slightly ahead of forecast through the peak time of the summer. So visitation increased 48% quarter-over-quarter and our guest reviews are super strong at 4.7 out of 5. The difference, I think, with Sky Lagoon is people often compare in Blue Lagoon, Blue Lagoon in Iceland is a bit like the Eiffel Tower in Paris. Folks are going to go, and they’re going to see it, where we do really well is at the end of your day, when you don’t necessarily want to travel a longer distance, we’re a 3-kilometer cab right away. And you can add it on to the end of your day. And so we see visitation all the way through the day pattern, it’s not just in the primary part of the day, but it’s into the evening and so on. So Iceland is recovering well. It’s still about 90% of the 2019 levels. But margin performance-wise and just how the business is performing in Sky Lagoon is phenomenal, and I’m happy to host an Investor Day at Sky Lagoon that would be a ton of fun.
Bryan Maher: Thank you very much. Appreciate it.
Operator: And your final question comes from Barry Haimes from Sage Asset Management. Your line is open.
Barry Haimes: Thanks so much for taking the question. I had a couple of follow-up financial questions. You gave the CapEx and free cash flow for the third quarter. But I wonder if you have similar numbers either for the fourth quarter or for the year, which you might want to talk about it. And am I right that ex the Glacier Raft acquisition, you were positive free cash flow in the second quarter. Thanks.
Ellen Ingersoll: Thanks, Barry. So for the full year, CapEx is about – we’re just at $80 million. And for free cash flow, I would say, if you take EBITDA minus our interest expense payments, I mean, that will get an approximate operating cash flow number. So you can use that as a proxy. The second question...
Barry Haimes: Second quarter, were your free cash flow positive ex the Glacier Raft acquisition?
Ellen Ingersoll: Yes.
Barry Haimes: Great. Thank you so much.
Operator: There are no further questions at this time. Steve, I turn the call back over to you for closing remarks.
Steve Moster: All right. Thank you very much. Thanks, everybody, for joining us on the call, and we look forward to giving you an update at the end of the third quarter. Thanks very much.
Operator: This concludes today’s conference call. You may now disconnect.